Operator: Greetings and welcome to First Republic Bank’s Third Quarter 2020 Earnings Conference Call. Today’s conference is being recorded. During today’s call, the lines will be in a listen-only mode. Following the presentation, the conference will be opened for questions.  I’d now like to turn the call over to Shannon Houston, Senior Vice President and Chief Marketing and Communications Officer. Please go ahead.
Shannon Houston: Thank you and welcome to First Republic Bank’s third quarter 2020 conference call. Speaking today will be Jim Herbert, the Bank’s Founder, Chairman and CEO; Gaye Erkan, President; and Mike Roffler, Chief Financial Officer. Before I hand the call over to Jim, please note that we may make forward-looking statements during today’s call that are subject to risks, uncertainties and assumptions. For a more complete discussion of the risks and uncertainties that could cause actual results to differ materially from any forward-looking statements, please see the Bank’s FDIC filings, including the Form 8-K filed today, all are available on the Bank’s website. And now, I’d like to turn the call over to Jim Herbert.
Jim Herbert: Thank you, Shannon. The third quarter was a very strong quarter. Loan origination volume was another quarterly record. Deposits also grew very strongly. Wealth management assets have fully recovered and are growing very nicely as well, and credit, capital and liquidity remain overall quite strong. This year's performance so far continues to demonstrate the strength of our conservative, well capitalized client service business model. This is our 35th year of consistent organic growth and consistent continuous profitability. Let me turn to the third quarter strong results. Year-over-year, total loans outstanding were up 19%, excluding PPP loans. Total deposits grew 22% year-over-year. Wealth management assets were up 20% year-over-year, despite the extraordinary market volatility during the period. This across the board growth continues to drive our financial performance. Total revenues grew 20% year-over-year, net interest income has grown 19.5% year-over-year and tangible book value for shares increased 12.6% year-over-year. Importantly, our credit remains quite strong. Net charge-offs for the quarter were only $1.7 million and have been only $3 million so far year-to-date. Non-performing assets at quarter end were a very modest 12 basis points. Our Tier 1 capital leverage ratio at quarter end was a strong 8.38%. We were very pleased in September to successfully raise $500 million of qualified Tier 1 fixed-for-life-perpetual preferred. This was issued at a very attractive dividend rate of 4.125%. In fact, this is the lowest dividend rate ever achieved by a bank for a fixed-for-life-perpetual preferred. In terms of our market share performance for a moment, we recently released -- we recently received the results of our 2-year or every 2-year Capgemini household study. This study looks at our growth and penetration within the high net worth household segment, which is one of many segments that we serve, but is representative of the enterprise overall.
Gaye Erkan: Thank you, Jim. It was indeed an excellent quarter with strong client activity across the franchise. We are delighted with this quarter's performance and our strong household growth. Over the past several years, we have successfully scaled our culture and service model to manage an increasing household growth rate without compromising very high standards of service and safety. Among other things, this has included growing our talented and diverse workforce, the linchpin of our service model by about 10% year-to-date; selectively opening new preferred banking offices to enhance our community presence; investing in technology to provide greater service options for our clients and to scale our service model and investing in infrastructure and risk management to maintain our safety and soundness. For example, our digital banking platform works hand-in-hand with the personalized service delivered by our bankers, providing a technology enabled, yet customized experience for our clients. Clients can access their trusted banking team seamlessly with at one touch digital to human connection through our mobile app. We have also enhanced client options to self-serve digitally if they prefer, from account opening to select transactions and accounts controls. We are also giving our colleagues more time to delight our clients and deepen existing relationships by streamlining and automating repetitive tasks. More customization, greater access to dedicated bankers and continued service excellence, drive overall client satisfaction, which in turn fuels our continued strong organic growth.
Mike Roffler: Thank you, Gaye. We are pleased with the record quarterly revenues of $1 billion, up 20% year-over-year. Earnings per share were also a quarterly record of $1.61. Earnings per share did benefit by approximately $0.09 from one-time items, including discounts on loans sold, insurance proceeds and an amended tax return refund. Our balance sheet remains quite strong in terms of credit, capital and liquidity. Our provision for credit losses was $28.5 million slightly less than the second quarter. In contrast, net charge-offs during the quarter were only $1.7 million. So far in 2020, we have added over $122 million to our reserves, while net charge-offs for the same period have been only $3 million. Let me discuss our continued capital strength. In September, we were pleased to successfully raise $500 million of fixed-for-life-perpetual-preferred stock at the historically attractive rate of 0.04125%. This was our largest equity raise ever. With a portion of the proceeds in October, we retired the $100 million 5.7% Series F perpetual preferred stock. As a result of these capital actions, we expect quarterly preferred stock dividends to be $18.5 million beginning in the first quarter of 2021. We are pleased to declare this quarter's dividend of $0.20 per share on our common stock. 2020 marks First Republic's 9th consecutive year of dividend increases. Also as a reminder, First Republic does not engage in share buybacks. Our liquidity position remains strong. HQLA was 12.9% of total average assets in the third quarter, including $3.1 billion of eligible cash. Given our strong deposit growth and liquidity position, we prepaid approximately $1.4 billion of FHLB advances, which were coming due over the next two quarters. Net interest income increased 19.5% year-over-year. Our ability to grow NII at such a strong pace, reflects the power of our consistent growth of earning assets and a stable net interest margin. We are particularly pleased with a net interest margin of 2.71% for the third quarter, up 1 basis point from the prior quarter. This of course reflects our ability to deploy our strong deposit growth into well secured real estate lending instead of leaving those deposit dollars in cash and short-term investments. Driven by strong checking deposit growth, the cost of funding declined by 11 basis points, which more than offset the 10 basis point decline in earning asset yields. We continue to expect our net interest margin to be in the range of 265 to 275 for the full year 2020. Our efficiency ratio for the third quarter was 60.7%.
Jim Herbert: Thank you, Gaye and Mike. It was an overall very strong quarter with high quality growth across the franchise. As we continue to grow, we are very focused on continuing to scale our model by investing in people, infrastructure, and technology. This combination further supports our service model and sustainable growth. Now we'd be pleased to take any questions. Thank you.
Operator:  We'll take our first question from Steven Alexopoulos with JP Morgan.
Steven Alexopoulos: Hey, good morning, everybody.
Jim Herbert: Good morning, Steven.
Steven Alexopoulos: Maybe to start on NIM and follow-up on the guidance that Mike just provided. I get the range is consistent, but do you think the NIM can hold like relatively steady in this 2.70% range, getting into the 4Q?
Mike Roffler: Yes. Steve it's been remarkably resilient right around 2.70%, 2.72% for the year. And it feels like we're in a pretty good place in this range given the new business that we're doing and some of the reduced funding costs. And importantly, we're able to deploy our deposit growth into strong credits that are earning a decent yield.
Steven Alexopoulos: Okay. That's helpful. And then on credit, maybe for Jim, so one of the major concerns that investors have for all banks of cycles on commercial real estate and we hear New York, San Francisco are the number one, number two concerns. Now that the cycle is somewhat better understood here, which asset classes within commercial real estate do you see most at risk? And do you think banks will end up losing money on commercial real estate deals in either New York or San Francisco?
Jim Herbert: Well, I think the choice of your focus on commercial real estate, let's leave out multifamily for a minute. Let's just focus on office and retail and other sort of versions of true commercial real estate. Those are probably the areas most at risk. I really can't comment, very knowledgeably on other banks. Our lending in San Francisco and New York on commercial real estate non-multifamily, the loan to buyer ratios are all south of 50% in the portfolios and the size of the deals are actually pretty small, they average about $5 million. So I don't think there's going to be actual losses taken. Those properties are under a lot of pressure ranging from not very much a well-run office buildings plus a number of tenants in them or our credit tenants to retail, which as we all know has got a lot of problems.
Steven Alexopoulos: And, Jim, how would you compare New York to San Francisco? It seems like new York's under a lot more pressure. What's your view?
Jim Herbert: Well, I think it's certainly getting a lot more press. It's bigger obviously. I'm not -- it's hard to tell, and as we know in more -- in the office market and in New York, there are several markets, actually. Midtown, Hudson Yards, Downtown, and those markets are functioning slightly differently. The Hudson Yards is getting a fair amount of press, but of course this just coming online and it's the newest space in town where we have a heavy commitment there. And I will say that it seems to be leasing up very well. And those are mostly larger credit tenants because of the type of space it is. I think San Francisco, the rents are down -- commercial rents are down meaningfully in San Francisco because San Francisco goes through this kind of up and down every once in a while. And it's  - I would say that the incremental rates in San Francisco are down probably 15% to 20%. Vacancy is not that high, but the rates, the incremental rates are down a lot.
Steven Alexopoulos: Okay. That's helpful. And then for a final question. So on a year-over-year basis period end assets grew 20%, which is fairly consistent. But when I think of your balance sheet historically loans have been the primary driver of the balance sheet. And then you would backfill with deposits. If I look at the recent trends, it looks like deposits are starting to pull the balance sheet and it's really the business bank doing that. Is this a temporary phenomenon tied to clients building more liquidity, or do you see something changing on a more sustainable basis, which would obviously be favorable for NIM? Thanks.
Jim Herbert: Actually, let me start that answer and then pass it to Gaye. But for 35 years, the driver on the bank has been its lending  and our ability to stay with -- remember, 55%, 60% of all of our loans every year are made to existing clients, and that's our biggest growth element. And then their direct referrals are 25% -- another 25%. And so that's our driver and it always has been. Only recently, we've been able to fund it entirely without diving into a wholesale markets of any kind. And we didn't do that too much over the years anyway. Recently obviously with the Fed increasing its balance sheet, there's a lot of liquidity around, but let me turn to Gaye on for the deposit side.
Gaye Erkan: Yes. Steve, we are very pleased with the strong checking growth, especially over $6 billion and 40% quarter-over-quarter annualized. It’s -- the deposit growth has been as a result of new households, the -- on the back of the Paycheck Protection Program, business is giving us even more referrals, even those who haven't necessarily done those loans with us and the consumer account balance sizes are also higher compared to a year ago. And we're seeing the growth coming in from very diversified sources that includes in addition to PE being active, professional services, real estate and our non-profits as well increasing in their deposit balances. So we are really pleased with the flight to service and the safety.
Steven Alexopoulos: Great. Thanks for taking all my questions.
Operator: We'll take our next question from Bill Carcache with Wolfe Research.
Bill Carcache: Thank you. Good morning. I wanted to start off with a question on your revenue growth against the backdrop of low rates and weak loan growth pressuring the rest of the banking industry, the idiosyncratic tailwinds in your business model continuing to stand out. Can you give a little bit more color on your confidence level and the durability, repeatability and sustainability of those idiosyncratic drivers of growth, even if the low rate environment and margin pressures persist? And do you see any indication of that growth even if not now, is there any risk that you see of that growth being competed away over time?
Jim Herbert: Well, the growth is, I just kind of said in the last answer is driven by our net promoter score, which is in the 70s, which is twice the banking industry average. That's just a simple way of measuring client satisfaction. So the growth in the bank starts with the fact that we don't lose very many clients every year. We have about a 2% attrition. Most of the banking industry tends to run at about 8%. So that's -- so keeping and satisfying the clients you have now is the number one key to continued growth because if you keep them, you grow with them. Their checking account grows, they do more in the home lending area, et cetera. And so that's the driver of the growth. And then they are very happy and they refer other clients. So that model has been successful year-in and year-out for 35 years. The loan line has probably compounded at about 15% to 16% for 35 years through thick and thin. The margin is a little bit more complicated because it's very subject to macro conditions. We're holding up as Mike just said better than we had hoped, although our projections indicated we would, but we were -- there's a lot of pressure here. I would note the tenure being up slightly recently is not a negative. But I think the sustainability of it is -- it has been -- is historically clear to see our job is to maintain our service quality. If the service quality is maintained, the growth will be maintained.
Bill Carcache: Thanks, Jim. If I may, as a follow-up, some of your competitors have hedging programs in place that have served as a source of support for their net interest margins, particularly as we move to SERP after the pandemic hit, but I don't believe we've seen you guys put on any hedges. Can you briefly touch on your hedging philosophy and whether you've ever felt like you're at all competitively disadvantaged by not putting on hedges. And also since you're not receiving any hedging benefits today, you're not going to face any future headwinds as hedges roll off, but would appreciate your thoughts on just those hedging dynamics overall.
Jim Herbert: No, this is interesting conversation. My -- we do not hedge. Our hedge is basically a good business done with clients out of spread and we've resisted hedging over the years. Many times we've been presented with good ideas, but we just don't take them. Our experience is that over a very extended period of time hedges sometimes increase volatility rather than decrease it. They can go wrong or the accounting for them can go wrong.
Gaye Erkan: And just to add to Jim's comments, the organic hedge of First Republic is the earning assets growth coming from within. The more clients we have, as long as they're happy, the more referrals we get and that earning asset growth is a -- can largely offset fluctuation, small -- modest fluctuations in NIM. So the NII growth continues to be strong with our organic growth and driven by client service as Jim explained.
Bill Carcache: Very helpful. Thank you.
Operator: We'll take our next question from Ken Zerbe with Morgan Stanley.
Ken Zerbe: Okay. Thanks. Good morning.
Jim Herbert: Good morning, Ken.
Ken Zerbe: Mike, can you actually just tell us where your new loan and security yields were in the quarter on the stuff that you put on?
Mike Roffler: So new loans, if you look at home loans, high 2s; multi-family around 3.25 and CRE around 3.50. So when you sort of blend it all together, we’re just shy of 3%.
Gaye Erkan: And security side, on the munis it's 2.75, around 2.75 that's TY, and then government agency, HQLA is around 1.25 to 1.50.
Ken Zerbe: Got it. Okay. And then just in terms of, I guess the 1.25, 1.50, like the security yields are certainly much higher, and I know you have longer duration, but is it fair to assume that all things equal that your security yields just continue to , presumably if you're depending on what you're putting on, like just kind of creep lower . I guess I'm looking at the numbers and I could easily see sort of when you go to 2021, 2022, call it, I don't know, 10, 20, 30 basis points, lower asset yields  as it slowly repriced? Is that fair?
Gaye Erkan: Yes, so we don't -- our guidance for 2020 for NIM is 2.65, 2.75 relatively around the mid range. We are not giving guidance for the next year, given the uncertainty in general. So we typically do that in the fourth quarter call, but I would say in the new -- the way that we looked at it just overall, new lending yields are coming in around -- just around 3% on the marginal. And the marginal funding cost is around 30 basis points. If you take that as a rough cut. So that's right in the middle of the range for NIM. And then I would also add NIM is just one part of equation for First Republic. The strong NIR growth, as we said, is largely offsetting modest fluctuations in NIM.
Ken Zerbe: Got it. Okay. And just really quick, in terms of the NIM guidance, I guess, call it roughly 270, does that include the benefit of the accelerated PPV amortization from loan forgiveness?
Mike Roffler: So it does include it, but I'll say this, we don't expect much of that until 2021. At this point we have submitted less than 50, I think to the SBA for their approval. So it's early on in the process. I think that's more of a early '21 dynamic.
Ken Zerbe: Okay, great. Thank you.
Operator: We'll take our next question from John Pancari with Evercore.
John Pancari: Good morning.
Jim Herbert: Good morning, John.
John Pancari: On the commercial real estate topic again, Jim, I just want to confirm, did you indicate that you don't expect to take losses in that portfolio at this time?
Jim Herbert: I wouldn't be that cavalier about it quite. We don't know yet. If we have losses, they are going to be hit -- they’re going to be one at a time. It's going to be quite -- the loan portfolio, that loan portfolio as a group is actually reasonably strong and it starts out because we have very low loan to value ratios, which of course means high cash flow coverage on the other side.
John Pancari: Right. Okay. Okay. Got it. And then also on the commercial real estate front, can you just remind us what percentage of your commercial real estate portfolio is in those since the more impacted areas, including office and hospitality and retail?
Jim Herbert: Commercial -- of the commercial office space, about 30% is in San Francisco and 24% is in Manhattan.
Gaye Erkan: And just to add the COVID impacted hotel, retail restaurants overall is less than 2.5%, about 2.3% of our total loan portfolio. And within that modifications are even less, roughly around $640 million, and within that we are seeing -- we have a grade collateralization real estate backed over 95% and personal guarantees in those cases.
John Pancari: Okay. Got it. Thanks, Gaye. And then just to follow-up on credit as well, how should we think about the loss or net charge-off trajectory here? I know your losses were up slightly in the third quarter. Is it fair to assume that we see losses really , I guess, impacted by the pandemic in the next couple quarters. And if so, is it fair to assume that that loss content has already been provided for in your reserve, and accordingly we could start to see implied loan loss reserve ratio declines?
Mike Roffler: So there's a lot of to unpack there, John. But I think what you've seen …
John Pancari: Yes, sorry.
Mike Roffler: … no, it's okay. What you've seen with us and also the other banks this morning, I mean, provisions are a bit lower than they had been the early part of the year, which I think is what CECL was intended to have happen when things start to improve. You're right, our losses have been very low. We've done a good scrub of the COVID portfolio and any losses that may come out of that, it's likely going to be in the 2021 calendar period versus something that pops here in the fourth quarter. One of the things that I think, Gaye mentioned was that our modifications were largely done in April and May. And so they're now coming off modification and back to regular payments status. And thus far it looks like we're at about 90%, have already come back onto their regular payment status. So they're still in the COVID  book right now, but October already has been a very good start to people just resuming their regular payments, which gives us confidence that the losses that Jim mentioned and whatnot, looked to be relatively low at this point, but it'll be in 2021 when it'll come home or sort of conclude.
John Pancari: Got it. Okay, Mike, thank you.
Operator: We'll take our next question from Casey Haire with Jefferies.
Casey Haire: Yes. Thanks. Good morning, guys. Mike, a couple of follow ups on the NIM. Just on the funding side of things, the CD book, obviously repriced a little bit low -- meaningfully lower this quarter. What is the opportunity for that to continue versus that 134 rate? And then also the FHLB advances at 168. Are you guys going to continue to pay down those, and what is the rollover rate?
Gaye Erkan: Let me start on deposit side and then I will turn it to Mike for the overall NIM guidance. On the deposits, the average quarterly rate was 21 basis points. The spot rate is in the low teens. And in terms of our funding costs, total overall liability, overall funding costs, there's a lot of tools in the toolkit. That'd be dynamic -- dynamically optimized, so there's some room for improvement. But I would go back to the -- I will turn it to Mike for the 265, 275 for the year we feel comfortable with that.
Mike Roffler: Yes. And just on your comment on FHLB, we do have not a lot of maturities less this year, so you won't see a lot of movement probably until next year, if rates stay where they are next year, you'll see our FHLB funding cost there is some opportunity there, which leads us back to what Gaye said, of why sort of we're comfortable for the margin outlook for the rest of 2020.
Casey Haire: Okay, great. And the next question is just on the efficiency. If we tease out the overage on the fee side of things, it looks like the efficiency ratio came in a little under 62% on what was a record origination quarter. I know you guys aren't giving guidance on next year, but are you guys learning -- it sounds like there's an expectation that you could run more efficient or do we run back to historical efficiency ratios?
Mike Roffler: So I think you're right, when you sort of tease off the one-off, we're just under 62% for the quarter. And I think for 9 months, we're just under 62.5%, that has benefited a bit from a lack of advertising and marketing and a lack of travel and any sort of client activity or client event. There will be a point in 2021 that you'll start to see those costs tick up. I think the stability of the margin, we talk about this a lot, it is the ratio and the stability of the margin has also had a flow through benefit to the efficiency ratio. But I do think some of these costs that have been avoided given the pandemic will start to come back next year at some point, which is why we'll sort of look at another update in January.
Gaye Erkan: And adding to Mike, we are long-term thinkers and we take a long-term view on the business, and there are great client service opportunities, especially right in this moment. So now is the time for us to continue to invest in the strong organic business growth.
Casey Haire: Understood. Just last question on the loan growth, can you provide a little bit of color on the geography, just given what's going on in New York City? Like I think last quarter you guys referenced, that there's a lot of New York City suburb activity, just the resi mortgage drove about 90% of the loan growth by geography. Could you just provide some color there to give us some insights?
Gaye Erkan: Yes, very strong. So total single-family residential third quarter originations were quite strong at $6.8 billion. Across all of our key regions including New York, the purchase market has been strong quarter-over-quarter and year-over-year. And majority of that purchase activity in New York specifically was in the suburbs and that picked up quarter-over-quarter. The refi activity also continues to be quite strong now representing about 58% of the total activity and that is consistent across all of our regions as well. And we've seen great activity in Los Angeles too. That has been quite strong market, especially over the last two quarters.
Casey Haire: Great. Thank you.
Operator: We will take our next question from Chris McGratty with KBW.
Chris McGratty: Great. Thanks for the question. Mike, just going back to the balance sheet mix in the margin dynamic, you look at the last couple of years, securities as a proportion of assets have come down from about 20% to about 15% to date. Is there anything magical about the 15% number, given the size and liquidity -- level of liquidity you need or could that ratio drift a little bit lower, which would support into next year?
Mike Roffler: So one of our things that we're very focused on and we talk about every quarter is our HQLA levels, and we're always going to be above 12% of average assets there. We also do have some securities largely municipals that don't qualify as such. So I don't know that you go a lot below 15% from here. I think we have not bought as much recently given where yields have been for some of the newer agency type instruments. We would just assume it hold it in cash for now and deploy it into the lending portfolio for client demand, because that's really our focus is to serve client need or client activity.
Chris McGratty: Okay. That's great. And maybe one with the election, a couple of weeks out, two items are getting a lot of press. One being tax rates and other being kind of regulation. I think I asked this question last quarter about any thoughts on potential sensitivity to taxes with the Biden -- with the Biden victory, and then also any thoughts either growth or credit from your student lending refinance business, given some of the proposals that are in the ballot? Thanks.
Jim Herbert: Well, the taxes, if you mean by your question that are the taxes impacting our markets in a, I would say there's a little bit of movement based on taxes out of the Northeast and out of California to lower tax States, but mostly among people that were probably fairly ready to move already. The -- I don't think we have a comment really on the macro impact of one candidate or another obviously, but in terms of student loan refinance, it's actually holding up very, very well. Our volumes, we've shifted over to a broader base personal loan, line of credit lending, that product is up and running and doing well. The delinquency in the portfolios is quite good as consistent with low, it's consistent with our single-family actually much to our pleasure.
Operator: And we'll take our next question from Brock Vandervliet with UBS.
Brock Vandervliet: Thanks very much. I just wanted to hone in a bit on the end game with respect to these deferrals. So $3.9 billion you've got a roughly 90% cure rate. So for example, say, $390 million, $400 million may not go back to normal P&I payments, what becomes of those, are those TDRs or those modified under 4013? What happens there?
Mike Roffler: Yes, Brock, so to the extent they're coming due this year, there is an ability if it's a short-term challenge, which in many cases it is, if you have to come back for another request, we'd likely would do a short-term modification under the CARES Act. And it would then be carried as -- continued to be a  loan that, that relief under the CARES Act does run out at year end. And so after that, if you need any more then you likely start to see a migration at that point, because your totality of deferrals will then up to a year in some cases. The other thing I'd say is this, while it may go down that route, the loan devalues are still in the mid 50% range. So the loss content again is still relatively modest from what we've seen at this point in time. And at that point, the total is about 40 basis points using that math of the loan portfolio.
Brock Vandervliet: Okay. And just shifting gears over to mortgage, one, if you could describe that $10.3 million gain, and aside from that, it looked like the mortgage gain was 124 basis points that looked about in line with where it had been historically, albeit very volatile. Are we kind of back to historical levels there?
Brock Vandervliet: So on the gain that was sort of a one-off, we had previously sold some loans that during the market dislocation had an opportunity to buy them back at a relatively attractive price, which we did execute upon markets since recovered, securitization wanted to be done by one of the banks and we delivered into it. And that's why you saw the, sort of the acceleration of that market dislocation from an earnings standpoint. We're pleased that the gain did improve to over 1%, without that one-off this quarter. I will say that, while we don't do a lot of conforming sales, we have started to do more and that market has been pretty positive given the way Fannie prices. So I don't know that I declare it all the way back, but it is better that it's running at a more consistent rate of gain than it had in maybe the past few quarters, which had bounced around a bit.
Brock Vandervliet: Got it. Okay. Thanks for the color.
Operator: We'll take our next question from Dave Rochester with Compass Point.
Dave Rochester: Hey, good morning guys. Nice quarter.
Jim Herbert: Good morning, Dave. Thanks.
Dave Rochester: I wanted to start with the deposit growth this quarter. You had some really solid growth and it was even more impressive since you had pretty much a normal tax season, hit in July. 4Q is normally a pretty strong quarter for you guys as well. And I was just wondering, based on what you're seeing at this point, are you expecting that momentum to continue?
Gaye Erkan: Thank you. And yes, we do expect the momentum to continue both on the consumer side and on the business side, given the activity and the single-family residential activity being so strong on the origination side on both purchase and refis that gives us a great opportunity to acquire new households because most of the refis actually coming from clients at other institutions that are also bringing their relationships over to us. And as you pointed out, second half is usually the strongest and so you would expect that trend to continue.
Dave Rochester: Yes. Okay, great. And then just on a comment you made earlier on the loan pipeline, it sounded like you said that was up meaningfully just from last quarter and obviously this quarter you had some great loan growth. I was just wondering what the mix of that looks like, if you're still driven primarily by resi, which I would imagine that momentum is still continuing, but also was curious to hear about the capital call business as well, what you're seeing there. And it sounded like you talked about utilization rates in business banking remaining fairly stable, and I guess that was the case in the capital call business as well?
Gaye Erkan: Yes. So let me start with the first one. The pipeline is meaningfully strong compared to both last quarter and last year. And the -- when we look at the 6-week rate log volumes in single-family residential, for example, it's double the same time last year in terms of volumes. So we are very pleased with the strong pipeline and client activity. In terms of -- and single-family continues to have a strong purchase in refi, multifamily continues to be strong as well. And we're very cautious on both debt service coverage and loan value ratios and CRE is relatively speaking, slower volume. Capital call commitments grew 17% year-over-year and utilizations around the mid 30s. We would expect that in that mid 30s, low 40s type of mid to high 30s type of range. The PE remains attractive given rich equity valuations, and low rates and with the specs being a tailwind for the monetization of PS, we are seeing great activity in the PE space. In addition, I would end with the diversification on the deposit side has also come from professional services, the nonfinancial services sectors as well, including professional service and nonprofits.
Dave Rochester: Great. All right. Thanks, guys. Appreciate it.
Gaye Erkan: Thank you.
Operator: We'll take our next question from Andrew Liesch with Piper Sandler.
Andrew Liesch: Hi. Good morning, everyone.
Jim Herbert: Good morning, Andrew.
Andrew Liesch: Thanks for taking the question. So, so far this year obviously seemed very strong loan growth. Previously you guys were discussing like a mid-teen pace, but with the strong pipeline you're heading into the fourth quarter, is it safe to assume that the growth at the end of the year is going to be stronger than your initial thoughts?
Jim Herbert: Well, it'll certainly be at least the mid-teens. What you don't know is fallout our closing rates. We're quite busy in closing and closing challenges continue to persist in some of the pieces of the chain of closing. But it should be -- if we're about 17% year-to-date and that's obviously eliminating PPP as well, which was in the year, we have to be careful to take that out. I think we're probably mid teens, high mid teens.
Andrew Liesch: Okay. Thanks. And then it sounds like you had some good growth in new client inflows in the wealth management business. How does the pipeline look for adding new clients there?
Jim Herbert: The wealth pipeline is a little harder to estimate because they just -- the sales cycle in wealth management is quite different than lending. You don't have necessarily the pipeline kind of analysis that you have in lending. Obviously, our growth comes from both growing of existing clients, adding new clients by wealth advisors and wealth managers that are already with us and bringing on new teams. The last part of the year is the slowest part of hiring of new teams, generally.
Andrew Liesch: Okay. Understood. That's very helpful. And just a couple of follow-up or housekeeping questions on the fee income side. The  income for the quarter, even backing out the gain was still up substantially. Is this a good run rate or how should this level, or how should December bounce around going forward? 
Mike Roffler: Yes, so there's two things I probably pull out to get to a better run rate. One would be the claim that we had with the proceeds, so that was just over $5 million. And then each year in the third quarter, we have an annual benefit from one of our policies that's roughly $2 million, call it. So if you took those out, that probably gets you back to a better normalized run rate going forward.
Andrew Liesch: Okay. Thanks for taking my questions.
Operator:  We'll take our next question from Arren Cyganovich with Citi.
Arren Cyganovich: Thanks. On the residential lending side, maybe we can just talk a little bit about the purchase volumes continues to be pretty good for you guys. It's almost 42% is what you said, but the refi obviously still elevated from the low rates. How long of a runway would you have for the refi to remain somewhat elevated in this kind of low rate environment?
Gaye Erkan: So there is the -- there are two sides to the refi. There is the -- first of all, the client refi and there's the non-First Republic client refi, and in these type of rate environment we do see clients giving us more trial and the refinance provides an opportunity to do so. And over time our trusted advisors deepen the relationships. So we would continue that trend. We would continue to see that trend over some time. And then the purchase activity is picking up quite meaningfully quarter-over-quarter, including in San Francisco, West coast as well as in New York given that there is more price discovery, although not complete yet, which also brings additional activity to the origination space.
Arren Cyganovich: Okay. Thank you.
Gaye Erkan: So we're very pleased the pipeline is quite strong as it stands right now as well as the rate lock volume is double last year's volumes.
Arren Cyganovich: Thanks.
Gaye Erkan: Thank you.
Operator: We'll take our next question from David Long with Raymond James.
David Long: Good morning, everyone.
Jim Herbert: Good morning. Sorry. Mike .
David Long: No worries. Two things. The first one I had is on the deposit side. Is there a level of your deposits that you've taken in over the last quarter to, that you may say has been simply because of the pandemic and your customers trying to keep a little bit of cash on hand. I guess I just want to know if there was a portion of your deposits that you think could be at risk of running off, if the economy picks up string and we get back to some degree of normalcy next year?
Gaye Erkan: Yes. So on the -- let me start out addressing, on the consumer side, we do see the average account sizes year-over-year slightly up because of that and the business on the business side, we've seen both our clients deepening their relationships, as well as we’ve gotten on the back of the PPP, given the service, we have gotten a lot of referrals on the back of that program as well. We expect those deposits to be stable, given the grade service and the deepening of the relationships with our bankers. And also I wouldn't underestimate in addition to the service, the safety and soundness of the bank in these type of times are also attracting more deposits coming in. In addition, when you look at the non deposit funding alternatives, given the rate environment there's a lot of tools in the toolkit, so we do a dynamic optimization as part of that, we switched from the barbell of CD and checking to more checking and money market given that the CDs are not that attractive from the client perspective, from a rate perspective, but they continue to be a strong part of our business and client acquisition.
David Long: Got it. Thank you for that color. And then the second question, on Slide 21, you break down some of your business exposures in more detail. Maybe can you provide a bit of color on what types of loans are included in the aviation, the professional service and clubs and the membership buckets? Just those seem like they carry maybe a little bit higher risk, but just curious what exactly you're talking about in those areas.
Jim Herbert: I'll take that. The aviation is mostly airplane finance to our higher net worth private clients mostly guaranteed. So I don't know that there's -- and of course the market value on aviation assets is actually quite determinable. Professional service firms, those tend to be guaranteed -- partner guaranteed lines of credit to law firms, occasional accounting firm, that sort of thing. And then we have some -- and then clubs would be there aren't very many of those, but their lending, and there would be probably facilities improvement type of loan with first trust deed.
David Long: Got it. Thanks. I appreciate that additional color. That's all I had. Thanks.
Jim Herbert: Thanks.
Operator: We'll take our next question from Jared Shaw with Wells Fargo.
Jared Shaw: Hi. Good morning.
Jim Herbert: Good morning, Jared.
Jared Shaw: Just going back to the CRE deferrals, I'm assuming that the loan to value is at origination, I guess. Can you comment on what the impact of continued cash flow disruption is on some of those CRE categories that are more at risk at the office and retail and hospitality? Have you seen any impact on valuations, whether it's through sales or through reappraisals?
Jim Herbert: Well, you know, the -- that's a good question. And of course there are, I would say this is not clearly determined yet to be accurate. On the other hand, what we are noticing is that there are beginning to be price discovery in the form of deals now on hotels, as well as office buildings, more hotel properties and some retail properties and this -- the price discovery and hotels would indicate, and this is anecdotal, but it's beginning to mount up in the kind of 30% range and slightly higher, maybe on a non-branded inner city facility. But in the office space, there haven't been very many transactions, so it's hard to call. They're down clearly, they sell it, they sell at a cap rate on free cash flow. The cap rates will come down. The interest rate drop, however, it's also catching them. And so, well, I think what's being overlooked is everybody's looking at the gross revenues on these buildings and forgetting that the carry cost from debt is down substantially, too. So it's really more a case of getting more transactions in order to discover it, but I don't think -- I don't feel overly exposed given our very conservative loan device going in. We're below 50% on the portfolio in each case. And in Manhattan, we're actually below 40%, and we have guarantees on about half of it.
Jared Shaw: That's great color. Thanks. And then I guess maybe  with that, how is the environment of working from home changed your thoughts of the need for office space for the bank. And does that change your thoughts on Hudson Yards and potentially looking at other bigger projects like that?
Jim Herbert: Let me take that kind of overall and then ask Gaye to speak on the specifics, but we -- Hudson Yards rental activity, leasing activity, surprisingly enough, is holding up reasonably well. I think everybody's aware of Facebook taking the entire Moynihan station, that's part of Hudson Yards really, 750,000 square feet. They were in negotiation before COVID hit. They've recently signed a lease, and it was down about 10% to 11% from the original negotiations, and they took the whole building. And as you know, it's a high tech, obviously a high tech enterprise. Regular leasing in other buildings is actually proceeding slower than it was, but it is appreciating and the general rates are down about 10% to 15%. We're not at all concerned about Hudson Yards actually. It's going to be delayed in its delivery, delayed in its optimization, probably about a year by the time this is done. We don't know because we're not out of those yet, obviously. In terms of our own use, let me turn to Gaye on what we're thinking in terms of our own offices.
Gaye Erkan: So during COVID, primary focus is safety of our clients and colleagues. So about 25% of our colleagues is in the rotational program. And are -- obviously our preferred banking offices are fully open with the exception of two where they're on the campus of employers that they're also working from home. So we we're fully in business in our branches. And our plan for openings on the PBOs, we do expect to go ahead with the openings. There are four offices, the PBO office in Hudson Yards in the next 12 to 14 months and in the next 15 months we would expect to open about 6 new office in the New York City area. I mean, just opened Portland in the third quarter. And so we are looking forward to serving our clients in those offices.
Jared Shaw: Great. Thank you.
Gaye Erkan: Thanks.
Operator: We'll take our next question from David Chiaverini with Wedbush Securities.
David Chiaverini: Hi, thanks. Had a question on the tax rates. So back in 2017, when the corporate tax rate was reduced to 21% from 35%, First Republic's tax rate didn't really change much. I was wondering, after the election, if the corporate tax rate were to increase to 28%, to what extent could that impact First Republic's tax rate?
Mike Roffler: So Dave, thanks for the question. You're right about back in 2017. So the bank has had a pretty optimized tax efficient portfolio between municipal securities, low income housing, bank on life insurance. And so as a result, if let's say 28% were the new corporate tax rate, that would be a 7% increase in the federal rate, our rate would go up about 4% because those investments would have greater value from a yield perspective when looking at our overall taxes.
David Chiaverini: Great. That's all I had. Thank you.
Operator: That concludes today's question-and-answer session. At this time, I will turn the conference back to Jim Herbert for closing remarks.
Jim Herbert: Thank you very much everyone. We are delighted to have you on today. We are delighted with the flow of business. Backlog is strong and we expect to continue to have a strong rest of the year. Thank you very much. Have a good day.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.